Operator: Good morning. My name is Ravrael, and I will be your conference operator today. At this time, I would like to welcome everyone to the WEX third quarter 2012 financial results conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator instructions) I would now like to turn the call over to Steve, Chief Financial Officer. Sir, please begin your conference.
Steve Elder: Good morning. With me today is our CEO, Mike Dubyak. The press release we issued earlier this morning is posted in the Investor Relations section of our website at wexinc.com. A copy of the release has also been included in an 8-K we submitted to the SEC. As a reminder, we will be discussing a non-GAAP metric, specifically adjusted net income during our call. For this year’s third quarter, adjusted net income excludes non-cash, mark-to-market adjustments on our fuel price related derivative instruments, the amortization of acquired intangible assets, and a goodwill impairment, as well as the related tax impacts. Please see Exhibit 1 included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release, most recent Form 10-K, and other SEC filings. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. With that, I’ll turn the call over to Mike Dubyak.
Mike Dubyak: Good morning, everyone, and thanks for joining us. This morning, WEX reported third quarter results that were consistent with our expectations. Third quarter revenue increased 6% to $161 million. Adjusted net income for the quarter increased 9% to $1.08 per share compared to the prior year. Adjusted net income in Q3 was impacted by deal and integration related expenses, as well as the impact of changes in the Australian tax law. The total impact of these items was approximately $0.10 per share net of tax. Steve will provide some additional detail on these items in just a few minutes. Since we last spoke, we’ve been busy executing our long-term growth strategy that focuses on expanding our Americas’ Fleet business organically and inorganically, diversifying our revenue streams, and building out our international presence. To that end, we had several key developments including – our acquisition of Fleet One, which accelerates our Over the Road business and rounds out vehicle servicing capabilities; our entrance into Latin America through our purchase of a majority interest in UNIK, a Brazilian paycard provider, who also provides a freight card product; and further progression in internationalizing our virtual card product. Based on the advances we made moving from a domestic fleet card provider to an international payment solutions organization, last week we announced the rebranding of Wright Express to WEX, Inc. Our new name and global brand marks the next chapter in our company’s evolution. Since our beginnings as a fleet card provider almost 30 years ago, WEX has achieved a leadership position in the corporate payments industry. Today, WEX is a growing international provider of fleet, virtual, and paycard solutions with an innovative product suite and a solid operating model. Our company has strong credibility and our rebranding will help articulate and reinforce our value and equity. Let me now turn to our results for the quarter. For the third quarter, revenue in the Fleet Payment segment increased 1% compared to the prior year as we remained focus on generating new business growth in light of continued softness in our Americas’ existing customer base. We’ve been very successful on this front and achieved consolidated vehicle growth of 6% over the prior year. Consolidated payment processing transactions increased by approximately 1.4%. Looking at our Americas’ Fleet business, we saw further pressure in our existing customer base or same-store sales, which were down 1.4% compared to the third quarter of 2011. We believe this is indicative of the current macroeconomic environment despite strong fleet card growth in the quarter. In light of the sluggish economic environment, we continue to concentrate on driving further growth and expansion of our overall product offering. With fleet card growth exceeding our expectations, we are on track to realize 500,000 new cards for the full year, which would be a very strong year for WEX. As I mentioned a few months ago, we announced the closing of Fleet One, the Fleet One acquisition in early October. Fleet One further builds upon Americas’ Fleet business, a core tenant of our multi-pronged growth strategy. This acquisition provides us with a unique opportunity to immediately and materially expand our OTR business in order to more effectively compete in this area of the market, which we view as a growth opportunity going forward. Further, Fleet One’s strong Over the Road business will round out our product capabilities to better serve both our mixed fleet and our co-brand partners who service heavy trucks, and also accelerate our acceptance in Canada. In addition, the combination will create greater scale by combining Fleet One’s and WEX’s local fleet and private-label business, which includes Fleet One’s cost PLUS Network. While we are still in the early stages of the integration process, we’re already beginning to see potential revenue synergies in the form of fruitful conversations with fleets and co-brand partners as a result of this transaction. With an enhanced portfolio of solutions, we are now in a position to more strongly respond to all of our customer vehicle card needs. In order to manage the integration of Fleet One, we immediately put in place a joint integration team. The team is responsible for setting the integration strategy, driving the process, and making the key decisions. George Hogan, CIO of WEX, is leading the team, working collaboratively with senior management of Fleet One. That said, both companies are working closely together through the integration process to ensure a smooth transition. Over the coming months, we’ll be addressing a variety of integration-related task. For example, we will adopt those practices and policies from each company that make the most sense for the combined business over the long run. We plan to execute the integration in a very thoughtful, deliberate manner to ensure that it does not interrupt Fleet One’s growth, while optimizing synergies between our companies. Looking internationally, WEX Australia fuel has remained a steady performer with results continuing to meet our expectations. For the third quarter, payment processing transactions increased 3% over the prior year. Total cards increased 10%. And we remain diligent in working to drive further growth here by targeting large fleets. Moving on to our other payment solution segment, we continue to expand the segment, which includes virtual cards and paycards, diversifying our revenue streams is a critical component of our growth strategy and we made a lot of progress on this product both organically and inorganically. For the third quarter, revenue on the other payment segment grew 24% over the prior year, mainly due to the strong performance of our virtual charge card product. STEM growth remained very healthy increasing 32% over the prior year and was driven by online travel into a lesser degree contributions from CorporatePay. We have finished testing and have begun processing PaySpan transactions. Well, we do not expect to see meaningful volume until next year. We continue to believe and has the potential to become a meaningful contributor to our other payment solution segment longer term. Given this expectation, we would be disappointed if we are processing less than $1 billion in transactions in 2013. Once PaySpan has been fully implemented, we expect to have better disability. In terms of our activities overseas, in Europe, we have implemented one of the previously signed OTAs. By 2013 we expect both of them to be fully up and running, at which time we anticipate they’re making more of a contribution to our business. With respect to CorporatePay, we will be leveraging the platform across Europe as well as conducting a deeper exploration on the opportunities in other international markets. In Australia, we begun processing OTA transactions with Webjet, which we signed last quarter. With a Cornerstone client in this region, we plan to build the pipeline to further grow the business. We made significant headway in creating WEX’s first really [ph] global product solution, a virtual card for the travel sector. Based on the due diligence we’ve conducted to date, we see tremendous opportunity to grow our virtual card business in new markets and geographies, and we’ll be looking to aggressively expand this product in the coming years. In order to support this future growth we plan to make greater, upfront investments next year to establish a broader international foundation to build upon. Overall, we remain confident that we will experience strong growth for our virtual card product and continue to expect spend growth to be in the 30% to 40% range for 2012, which includes contributions from CorporatePay. In addition to our virtual card, we also see a lot of potential for our paycard offering which is a B2B prepaid solution. Prepaid paycards are rapidly growing segment of the payments market and WEX plays in a specialized niche in US. WEX offers businesses and alternative to pay per checks for their employees with the employer reloading funds unto the employee paycards. Given our target markets and our customer base and our Fleet segment, we believe our paycard product is a highly complementary offering to our existing business and to the Fleet One business. Most recently, we’ve expanded our international footprint in the Latin America through a majority equity position in UNIK, a leading paycard provider in Brazil. We are excited about this venture for several reasons. First, as a large and growing economy, we believe Brazil is a very attractive market. Second, we see significant opportunity in working with UNIK and leveraging a strong management team and growing product set. The UNIK team is driven and motivated to grow the business and we plan to leverage this partnership to establish and validate a long term growth plan in the region. Lastly, we envision synergies for expanding our prepaid paycard presents in Brazil and expanding into the fleet market which has been established. More broadly speaking, we still see opportunities for M&A and strategic alliances and are still active in this arena in all areas of our business. Expanding our business internationally also continues to be at the top of our agenda. In conclusion, we’re pleased with our performance this quarter and the new growth platforms we have established. With a resilient business model, we feel good about the health of the business as we close out 2012 and heading to next year. So there is uncertainty with respect to the outlook for the broader economic environment. We plan to continue investing in our business to support future expansion. The combination of market opportunity and WEX’s growing position as a comprehensive, integrated business partner for fleet, virtual and paycard solutions, establishes a solid and differentiated underpinning for long term growth. This growth will be supported by our multi-pronged strategy of expanding our core fleet business, further diversifying our revenue streams and extending our international presence. I will now turn the call over to Steve, who will review our detailed financial results and updated guidance for 2012. Steve?
Steve Elder: Thank you, Mike. For the third quarter of 2012, we reported total revenue of $161 million, an increase of $9.1 million or 6% from the prior year period and slightly above the high-end of our guidance range of $153 million to $158 million. Actual results were higher than our guidance primarily because of fuel prices and the acquisition of UNIK in the quarter. Net income common shareholders on a GAAP basis for the third quarter was $14.3 million or $0.37 per diluted share. Our non-GAAP adjusted net income increased to $42 million or $1.08 per diluted share, an increase of 9% from Q3 last year. Adjusted net income included a few items that impacted our results which were not accounted for in our guidance. But first, with an additional $2.1 million or approximately $0.04 per share in deal and integration cost including the related tax impact. The second was a retroactive tax law change in Australia, which caused a cash of entry of approximately $0.06 per share of additional expense. During the quarter, we executed an investment in the Brazilian Company, UNIK, which consisted of a capital infusion of $22 million at a potential earn out liability which is dependent on their performance for the remainder of the year. Presently, we have estimated the earn-out liability to be $1 million. Our investment has been treated as a controlling interest. And accordingly, all the assets, liabilities, and revenues of UNIK are included on our consolidated financial statements. A proportion of UNIK net income that we will recognize in our financial statements will be equal to our 51% ownership position. In terms of some key performance metric for the third quarter, total fuel transaction entries 0.8% over the prior year. Payment processing transactions increased 1.4% in total. All in all, we believe these metrics are reflective of the sluggish economic environment as illustrated by our existing customer base for same store sales. The net payment processing rate for Q3 2012 was 1.62% which was down two basis points versus Q3 2011 and one basis point versus the second quarter of 2012. Finance fee revenue in the Fleet segment decreased $187,000 compared to Q3 last year. As a percentage of total dollars of fuel purchased, it was approximately 3% lower than last year. In the other payment segment, revenue for the third quarter increased 24% or $8.3 million year over year to $43.1 million. This segment now represents 27% of our total revenue. Revenue growth and the segment continues to be predominantly driven by our virtual charge card product in the online travel vertical with contributions also coming from CorporatePay and rapid! PayCard. Spend volume on our virtual charge card product increased $777 million over last year or 32% to $3.2 billion for the quarter. This is our first quarter of more than $3 billion in the spend. To put this into perspective, this quarter spend with more than our annual volume as recently as 2009. The net interchange rate on our virtual charge card product for Q3 was 90 basis points, down nine basis points year over year with no change sequentially. Similar to what we described last quarter, this was primarily due to a reduction and customer specific incentives received from MasterCard. Moving down to the income statement, total operating expenses on a GAAP basis for the third quarter were $109.7 million, a $23.1 million increase versus last year. The majority of which was related to salary and other personnel cost, service fees and amortization expense. Salary and other personnel cost for Q3 were $28.8 million compared with $27.4 million in Q3 last year. The increase was driven primarily by additional headcount as a result of our UNIK and CorporatePay acquisitions. Service fees were up $8.2 million over the prior year to $29 million. The increase this quarter was primarily related to the 32% increase in volume in our virtual charge card product. In addition, we had $2.9 million in expenses related to the operations of companies acquired during the year, as well as the related deal costs. For the fourth quarter, we expect to incur an additional $4.4 million of deal-related and integration costs associated with the Fleet One acquisition, which we have included in our Q4 guidance. Credit losses continued their strong performance in the third quarter. In total, credit loss was $5.6 million in Q3 compared with $8.7 million for the same period last year. Total charge-offs in the quarter were $5.2 million or recoveries of amount previously charged off were $1.1 million. Domestic fleet credit loss was 11.1 basis points in Q3 compared to 17 basis points in the prior-year period. Our operating interest expense was $1.2 million in Q3. We continue to benefit from low interest rates in addition to the savings we are realizing from our Higher One deposits. The average interest rate on our deposit for this quarter was 40 basis points. The effective tax rate for Q3 on a GAAP basis was 59.3% compared to 35.3% in the third quarter of 2011. Our adjusted net income tax rate this quarter was 39.5% compared to 35.8% for Q3 a year ago. During the third quarter, the Australian government enacted retroactive legislation, which changed their transfer pricing rules in the area of allowable debt levels. This tax law change, which we foreshadowed in our Q2 call, resulted in a charge of $2.4 million in the third quarter. We expect our ANI tax rate to be between 35.5% and 36% in Q4. During the third quarter, we also recorded a non-cash impairment charge in the amount of $16.2 million to write down the goodwill related to our prepaid gift card business in Australia. As we’ve discussed previously, the retail sector in Australia has been challenged, as the Australian dollar has been strong relative to the American dollar. As a result, consumers are purchasing goods online rather than purchasing prepaid gift cards, which is having an impact on this part of our business. In addition, we’ve seen increased competitive pressure, which is also having an effect on the performance of this business, and we expect this softness to continue. From a revenue contribution perspective, the gift card business is approximately 1% of our overall business. Turning to our derivatives program. For the third quarter of 2012, we recognized a realized cash loss of $1.2 million before taxes on these instruments and an unrealized loss of $12.8 million. We concluded the quarter with a net derivative liability of $1.8 million. In September, we announced that we would be modifying our hedging program as part of a regular review of the hedging strategy and in light of recent corporate acquisitions. As we’ve previously communicated to you, our goal is to target hedging 60% of our fuel price related earnings exposure in North America. Although we expected to implement this in Q3 of 2013, with the acquisition of Fleet One, we will essentially be adopting this policy immediately. For the fourth quarter 2012, we locked in at a price range of $3.45 to $3.51 per gallon. Moving now to the balance sheet. We ended the quarter with over $400 million of cash, which is due to the seasonal nature of the Higher One program. We expect this balance to come down through the fall as students withdraw funds. As we’ve previously stated, given the growth we’ve experienced in our payment offering and the related fluctuations in our daily cash needs, we plan to maintain greater levels of liquidity at our bank subsidiary than we have historically. In terms of capital expenditures, CapEx for the third quarter was $5.9 million. For the full year, we expect CapEx to be in the range of $28 million. Our financing debt balance decreased $20.7 million in Q3 including the purchase of the majority in UNIK. We ended the quarter with a total balance of $300 million on our evolving line of credit and term loans. As of September 30th, our leverage ratio was 1.1 times EBITDA compared to 1.5 times at the end of Q3 last year. Pro forma for the acquisition of Fleet One, leverage at the end of Q3 would have been 2.2. As far as future capital allocation, our primary objective remains to look at acquisitions as a way to further our growth objectives followed by paying down debt. Now, for our guidance for the remainder of 2012, which reflects our views as of today and is made on a non-GAAP basis. For the fourth quarter of 2012, which will be the first quarter including the results of Fleet One, we expect to report revenue in the range of $162 million to $169 million and adjusted net income in the range of $39 million to $42 million or a $1.01 to a $1.08 per diluted share. These figures assume normal seasonality trends in the corporate purchase card as well as credit losses. Our fourth quarter guidance assumes that domestic fuel prices will be $3.65 per gallon and that domestic fleet credit loss will be between 10 and 15 basis points. For the full year 2012, we now expect revenue in the range of $616 million to $623 million and adjusted net income in the range of $156 million to $159 million, or $3.99 to $4.05 per diluted share. Our full-year guidance assumes that domestic fuel prices will be $3.73 per gallon and that domestic fleet credit loss will be between 9 and 11 basis points. As a reminder, the fuel price assumptions for the US are based on the applicable NYMEX futures price, which may not reflect the actual prices during the quarter. We are also assuming that the Australian dollar remains at a premium to the US dollar in the range of 103. Also, as I said earlier, Q4 earnings include $4.4 million in integration and deal costs that were not included in our previous guidance. And now, we’ll be happy to take your questions. Operator, please proceed with the Q&A session.
Operator: (Operator instructions) Your first question comes from the line of Sanjay Sakhrani.
Steven Barso – KBW: Hi. This is actually Steven Barso [ph] in for Sanjay. Thanks for taking my question. First question I have was, could you talk a little bit more about PaySpan and how the accounts there are trending and the experience so far?
Mike Dubyak: Yes, I think that we clearly have some more insight, but we still don’t have complete insight because we’re in the very early stages of doing transactions with them. We’ve worked with them. They’ve given us what they see as their pipeline. Some of those are signed deals, some of those are prospects. They have kind of what they think is their normal case and then they have a best case. So I think we’re still a little cautious until we have more visibility. That’s why we’re saying we still are looking at the $1 billion in spend next year is still kind of we’re just placing ourselves until we have more visibility on a longer-term basis.
David Barso – KBW: Okay. And then, for my second question, I was just looking at the guidance provision. I was wondering how much of the revenue change was related to Fleet One, if you could break that out. And then the second part was with regard to the EPS revision. Does that part of it due to the $0.10 charge that was included in – that was not included in the third quarter’s earnings for the adjusted EPS? Thanks.
Steve Elder: Yes, Steven. The Fleet One, as we disclosed when we announced the acquisition, they’re in the $14 million to $15 million per quarter range in terms of revenue. I think it was $56 million for the trailing 12 months ended in June. So you can kind of plug that into your model for the fourth quarter. In terms of the EPS, I mean, absolutely that $0.10 that we recognized and disclosed in the third quarter is clearly carrying through into the fourth quarter, as well as additional deal and integration costs related to primarily the Fleet One, but also somewhat UNIK, the acquisition in Brazil as well.
Steven Barso – KBW: Got it. And my final question was with regards to the Australian tax law change, does that have any impact on the future tax rate going forward?
Steve Elder: It will have a small impact, Steven. It’s relatively small, like I said. The $2.4 million that we recognized this quarter essentially goes back to when we first purchase the company couple of years ago so you’ve got number of quarters that are involve in that $2.4 million charge. So it’s $200,000 a quarter so it’s not a huge number.
Mike Dubyak: And we closed on them in September of 2010.
Steve Elder: Right.
Steven Barso – KBW: All right. Thanks for taking my question.
Steve Elder: You’re welcome.
Operator: Your next question comes from the line of Mike Grondahl with Piper Jaffray.
Mike Grondahl – Piper Jaffray & Co.: Yes, thank you, guys. Could you just talk a little bit about your core business and any signs you’re seeing there of a pick up or maybe what you’re watching to see when we do get a pick up?
Mike Dubyak: Yes, as you know we think our Fleet business, our Fleet Card business probably more reflects what’s going on with the general economy. And we didn’t see a lot of change from last quarter to this quarter. We’re slightly down as we said about 1.4% on same store sales. There’s no change geographically by regions that’s still the southwest, that’s still the only one showing positive change, all the rest that are slightly down. The northeast is down almost 4%. As we look at SIC code you got some that are up like construction and manufacturing and mining but you have those that are down, public administration has been down for a while, retail trade was down for us, business services were down and transportation was down which typically we see that being maybe a forecast of the future trends on the economy. So, it’s about the same though which is sluggish, tepid, it’s not moving in any direction. There’s nothing that’s telling us that’s going to change until I think there’s more certainty in the market which I think a lot of people were seeing.
Mike Grondahl – Piper Jaffray & Co.: Okay. And maybe just a follow up on PaySpan, any milestones or anything that you guys are looking to, to get more color on what next year is going to look like?
Mike Dubyak: Yes, I think it’s that they have signs some of their accounts which gives us, first of all, confidence that they’re signing accounts, they have prospects. I think us seeing that those prospects turned into signed accounts so that we know that the numbers against those prospects are real. So we’re just being cautious until we see some of that play out. They’re very confident but we’re just going to be careful until we actually see those signings take place and people are signing up for those sort of spend numbers.
Mike Grondahl – Piper Jaffray & Co.: Okay. Thank you.
Mike Dubyak: You’re welcome.
Operator: (Operator Instructions) Your next question comes from the line of Roman Leal with Goldman Sachs.
Roman Leal – Goldman Sachs: Great. Thanks for taking my questions and I apologize. I was jumping back and forth here, but did you walk through at a thought process on the changes to the hedging program? Just curious given the recent acquisition you probably have more net exposure there. Just curious to see the logic behind that.
Mike Dubyak: Well, I think the logic is that fundamentally at this point, we’re not changing the fact that we think we need to be hedging at some level as our exposure to fuel prices have decreased over time and our other business which other payment solutions are now 27% of our business, we’re just saying how much do we think we have to hedge. And we’ve done a lot of analysis on looking at it and we decided to reduce the exposure. I think what Steve was saying as you know we used to be at 80% of our earnings exposure and we were going to reduce that to 60% but that would have been more in the future but by adding in Fleet One that puts even some of the current quarters and the first couple of quarters in next year now in that 60% range. So, the decision was to move it down to 60% not have as much hedged as we have in the past and our Fleet One did was put as there quicker in terms of waiting until the future.
Roman Leal – Goldman Sachs: You’re basically there right at the 60% range. That’s helpful. And then for your other payment solutions any, I guess, that you have some visibility [inaudible] but some visibility into new channels there internationally and domestically. What do you think volume growth could look like in 2013?
Mike Dubyak: Yes, we haven’t given out any guidance yet on that. So I think we’re probably going to wait to do our budgets and have all that in place. Clearly, it’s something we feel good about with what we’re doing with CorporatePay in the UK. We think UNIK can help us a little bit to help get more of a presence in the Latin American markets to help us with our virtual card products. We’ve talked about Webjets in Australia. We think there’s opportunities in other parts of Asia Pac. It’s an area we’re going to invest in. We think there’s great growth opportunities to go beyond if you will North American OTA partners in country OTA partners. So, it’s something we’re bullish on but we haven’t given any guidance yet against it.
Roman Leal – Goldman Sachs: Understood. Great. Thanks a lot for the answers.
Operator: Your next question comes from the line of Bob Napoli with William Blair.
Bob Napoli – William Blair: Thank you. I just want to be clear, I guess on, again on the fourth quarter guidance. Included in that guidance included in that guidance are deal integration cost of $0.07 and that’s it, or is there any, you said there were some carryover of the $0.10 or –
Steve Elder: Sure. Yes, Bob, this is Steve. The $0.10 from the third quarter of the Australian tax law change which was retroactive that’s obviously impacting our full year number. And the deal and integration cost related to the two acquisitions we completed in the third quarter, all those are obviously affecting our full year number as well. In addition, the $4.4 million that you referenced for the fourth quarter which was also additional deal and integration cost primarily for Fleet One.
Bob Napoli – William Blair: Okay. And so that’s –
Steve Elder: Again, another addition. And you’re right, that is about $0.07 of EPS.
Bob Napoli – William Blair: And then for 2013, are you expecting much more in a way of integration cost?
Steve Elder: Yes, absolutely. We’ll call those out specifically as we get into the year.
Bob Napoli – William Blair: Okay. Your 6% vehicle growth is, I mean, that’s pretty solid, the same store sales being down. What is the utilization rate of those vehicles? We’re getting nice vehicle growth that are – a lot of those vehicles, I mean, are you getting paid for all the vehicles, something for the vehicles that you have listed as under management or what percentage of those are idle. How do we look at that vehicle growth and then try to drive it to revenue growth?
Mike Dubyak: Yes, there’s a lot of different numbers that affected, Bob. I think what we look at is activation rates which can vary by partner if it’s private label versus co-brand versus on the west program by size of fleet. But our activation rates were actually up year over year so you have more vehicles. The active vehicles are up, which says something is going on to bring it down and that means that the utilization is lower. So the transactions per active vehicle have to be down in that case which is driving the lower same store sales numbers.
Bob Napoli – William Blair: Okay. And then Fleet One, the operating margins on Fleet One, can you give a little color of what those operating margins were at Fleet One? Were they a little bit above your margins or in line with your margins?
Mike Dubyak: At the time of the purchase there operating margins were actually a little bit below ours and we think with the synergies that were recognize on the deal over time that would become more in line with our margins. That won’t happen on [ph] but through the integration process over a period of time we think we can raise them [ph].
Bob Napoli – William Blair: Yes, because you pointed out in the past that your core business have incremental margins of close to 80%. I mean, when we think you could get maybe some over a couple years and real synergies on the margin line with Fleet One.
Mike Dubyak: We clearly expect, too, yes.
Bob Napoli – William Blair: Okay. And then what is the growth rate right now of Fleet One? I mean, I think they’ve been growing mid-single digits or mid-upper single digits. Do you think that can continue?
Mike Dubyak: It’s actually a little bit better than that especially when you include fuel prices. Historically, it’s been up close to 20%. Now a lot of that is due to the exposure of fuel prices and how those have been rising but even when you exclude that it is a double digit number that they’ve been growing. And we expect we’ll be able to continue that.
Bob Napoli – William Blair: Okay. And then, I mean, you’ve done a number of deals and you’re changing your name and all, it’s become a more complicated company. Do you have the management infrastructure? Do you need to add to that management infrastructure? When you’ve had tremendous execution over the years, are we at risk with all these different acquisition that you’ve made that there – and how do you feel confident you’re going to be able to manage this?
Mike Dubyak: Yes, there’s no doubt that one of the things that we have to make sure as execution risk is optimized. And we started well over a year ago as it was probably in the first to second quarter of last year saying if we’re going to be an international company, if we’re going to look at doing more acquisitions, we’ve got to look at things differently. And we’ve set up an organization that’s just not an North American functional organization. We now have kind of our corporate group. Melissa has her Americas group, David Maxsimic has his international group. We have embedded within both groups people that are long-term focused, if it’s research and marketing and innovation and new ideas versus day-to-day tactical short-term focus. Do we still need more bench strength? Yes. Do we want to hopefully acquire with somebody’s acquisitions good bench strength? Yes. We think we have that in all three of our recent acquisitions. UNIK has a strong management team, Fleet One has a strong management team, CorporatePay has a strong management team. But it is something, Bob, we look at on a regular basis. We know we have to keep adding to it, but we have been ahead of it. It’s not like we sat back and now we’re looking to become an international or global company. We’ve already got the structure set up. I’ve got my corporate group, as I said, Melissa has her group, David has his group.
Bob Napoli – William Blair: Okay. In line with that, I know you’ve had a pretty well thought out global acquisition strategy and targets. Do you still have a pipeline of opportunities that you feel comfortable going after even after the deals you’ve recently completed?
Mike Dubyak: The answer is yes. I can say that there’s no large deal size of Fleet One in the pipeline, but there are some others that makes sense for us to still follow that three-pronged strategy, either helping us with the North American Fleet business, our diversification strategy, or even looking at international opportunities. I think we’ll be smart about it. I don’t think we want to overload the business, but it is something, as I said, we knew a while ago we were going to be gearing towards, and if the right strategic acquisition is there, we still want to be able to use that to accelerate some of these growth platforms.
Bob Napoli – William Blair: Thanks. And last question. On the health care market with PaySpan and looking at that huge opportunity, but it seems to me like there’s more noise about electronic payments in the health care sector, seeing just more discussion broadly recently. Are you looking at other opportunities outside of PaySpan and do you have a pipeline of potential customers? Or do you need to see PaySpan before you would take on additional clients? I would imagine that you would have other health care payment companies looking at this product.
Mike Dubyak: Absolutely. So we have a pipeline. We’ve been working this for awhile just as we’ve been working the insurance industry and working the travel industry, and even saying that we want to work the travel industry on a global basis. But in at least the US, we have a pipeline of other providers that can also supply our virtual card as a payment mechanism and we will continue to pursue that. So PaySpan clearly offers a lighthouse account that says our virtual product is real, it can work in that space, we think all of that should work for us long term on the pipeline and the prospects we have.
Bob Napoli – William Blair: Thank you.
Operator: Your next question comes from the line of Phil Stiller with Citigroup.
Phil Stiller – Citigroup: Hi, guys. Thanks for taking my questions. I was just wondering if you could disclose what the revenue contribution was from UNIK this quarter and what you guys are expecting from that going forward?
Steve Elder: Yes. There was a small contribution. As you know, we’ve got a controlling interest in the business, so we consolidate in 100% of their revenues and expenses, and then there’s a non-controlling interest at the end of the income statement, which pulls out the portion not attributable to us. So in the quarter, what you see is just a little bit over $1 million worth of revenue related to UNIK that’s in the revenue line, and like I said it’s a very, very small impact to earnings, overall.
Phil Stiller – Citigroup: Okay. And it seems like if you exclude the benefit that you guys got from fuel prices, which is probably in the $7 million to $8 million range in this acquisition, that you’d probably be at the low-end of your guidance range, is that right? And perhaps you could talk about what caused you to go towards that low end?
Steve Elder: I wouldn’t characterize it that way. I would say our previous guidance range, the top end was $1.15. If you take the $0.06 for the Australian taxes and the $0.04 in deal integration costs that weren’t included, including the tax impact on some of those, that gets you to $1.18, so $0.03 over the top end. That $0.03 is essentially the fuel prices. So operationally, from a volume perspective, we’re very close. All of our revenue metrics, I would say, were very close to what we expected and deal costs aside, our operational expenses were very much in line of what we thought, a little bit favorable.
Phil Stiller – Citigroup: Okay. Yes, I was referring to the revenue guidance. But I guess we could follow up after. Going forward from Fleet One, do you guys have an EPS accretion target? I mean, it seems like you’re digesting some deal integration costs this quarter and next quarter. But how are you guys thinking about it contributing EPS next year?
Steve Elder: I’d say that we’re expecting it to be a positive contributor when you take out the one-time cost associated with the integration that’s going to happen. Like I said, it’s a very profitable business on a standalone basis. We think we can improve upon that as well over time.
Phil Stiller – Citigroup: Do you guys think you could get the margins, the contribution margins from that over your corporate margins?
Steve Elder: I think it’s too early to say exactly where they’ll end up, but certainly, there are synergies in the acquisition that we believe will realize and that will at least bring those more in line with our existing margins.
Phil Stiller – Citigroup: Okay. And then just lastly in the hedging program, so just for clarity, we should assume that they’re roughly 60% hedged for the fourth quarter and the first quarters of next year based on the additional volume if we want, is that right?
Steve Elder: So, yes. I mean, we are slightly below that, I would say, for the fourth quarter, as we’ve said, last quarter with the very low interest rates and the very low loss rates. We were slightly below our previous 80% target. So when you layer on Fleet One, that’s going to bring us a little bit less than the 60%. But going forward from the fourth quarter into next year, yes, we’re right around that 60% target.
Phil Stiller – Citigroup: What other impacts should we be looking at in terms of the payment processing transaction growth or challenge per transaction in terms of how Fleet One is going to impact it or even fuel prices give, which I’m assuming that there’s a higher mix of diesel in their business.
Steve Elder: Yes, there’s clearly a higher mix of diesel fuel, which has the higher retail price. So in our guidance, it actually is probably a $0.01 or $0.02 higher in the quarter, then, if we had not Fleet One because of that mix. Every single one of those operating metrics that we disclosed for the Fleet segment is going to be impacted. They’d have a couple of 100,000 active vehicles, which bring on the transactions. And those are bigger transactions certainly in Over the Road side than what we’re accustomed to. So all of those metrics are going to change over time.
Phil Stiller – Citigroup: Okay. Thanks, guys.
Operator: Your next question comes from the line of Leonard DeProspo with Janney.
Leonard DeProspo – Janney Capital Markets: Good morning, and thank you for taking my question. I just wanted to have one question regarding close trends in the Fleet segment, if you could possibly break out by months what those growth rates were in the third quarter or even into October so far, just to kind of get a trend on where that’s heading. That’s it.
Mike Dubyak: Yes. We can. There’s no doubt that in the third quarter, they got progressively worse, not a lot of change, but they got progressively worse. So far in October, we’re seeing at getting better, but still slightly negative. So if the trend continues, I mean, you’d see it getting worse all three months, and then October actually better than September and –
Steve Elder: That’s in our same-store sales, and some of that is affected by business days as well. So September was a little bit off compared to the prior year, but there was actually one more business day in September of last year. So you would expect to see that a little bit down and we’ll recover that essentially in October. But even when you just roll out [ph] the same-store sales, as Mike was referring to, it did get a little bit worse each month through the quarter.
Leonard DeProspo – Janney Capital Markets: Thank you.
Operator: I would now like to turn the call back over to management for any closing remarks.
Mike Dubyak: Okay. Thank you for joining us once again this quarter and we look forward to speaking with you again next quarter.